Operator: Good day, ladies and gentlemen. Welcome to Vista Gold’s 2018 Financial Results and Corporate Update Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, today is Wednesday, February 27, 2019. It is now my pleasure to introduce Vista’s President and CEO and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Fred Earnest: Thank you, Kenzie. Good afternoon ladies and gentlemen. Thank you for joining Vista Gold Corp.’s 2018 financial results and 2019 corporate update conference call. I’m pleased to be joined on this call by Jack Engele, our Senior Vice President and CFO. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-K for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. 2018 was a year of tremendous achievement for the Mt Todd Gold Project and as we look forward to 2019 we expect improvements of similar magnitude. Briefly, in 2018 we announced the results of technical and economic studies demonstrating lower capital and operating costs significantly higher recoveries and improved margins for the Mt Todd Gold Project. We also announced the authorization of our last major environmental permit for the project. We commenced the additional process area optimization test work, which has demonstrated another significant improvement in gold recovery for the project. That work is expected to be completed in the coming months and result in an updated technical report. We expect the combination of potentially lower foreign exchange rates, higher gold price, and improved gold recovery to have a very noticeable positive impact on the updated project economics. We believe that these results will improve the leverage to gold price that has allowed our share price to significantly outperform our peers since mid-November when the gold price began its course of steady improvement. I will discuss these topics in greater detail later in the call, but I will now turn the time over to Jack Engele.
Jack Engele: Thank you Fred. Good afternoon everyone. I will start with our balance sheet for December 31, 2018. Our working capital totaled about $13.2 million on December 31, which included cash and T-Bills of about $8.1 million. The Company continues to be debt-free. Turning to our statement of income and loss for the year ended December 31, we reported a net loss of $8.7 million or $0.09 a share for the year. The principal components of this loss are $10.8 million of operating expenses, a $1.7 million mark-to-market gain on our investment in Midas Gold Corp., and about $0.4 million of interest and other income. The main components of the $10.8 million of operating expenses include $2.9 million of fixed site management cash costs in Mt Todd, about $3.7 million of fixed corporate GNA costs, about $1.2 million of cash discretionary programs at Mt Todd, a $1 million non-cash impairment charge related to our used mill equipment and about $2 million in non-cash, stock based compensation and depreciation. Our 2018 fixed costs at Mt Todd, we're about 10% higher than 2017 fixed costs. In 2018 we began baseline monitoring to comply with the terms of our EPBC permit, which we received in January, 2018. Discretionary programs at Mt Todd are lower in 2018 than in 2017 as several large programs, ore sorting studies, met testing, and the PFS update were completed through the course of 2017. 2018 corporate administration costs tended about 15% higher in 2018 than in 2017 mainly attributed to an increased focus on investor relations programs in 2018. Looking ahead at Mt Todd we expect 2019 fixed costs to be very consistent with the 2018 level spending. We also expect fewer and comparatively smaller discretionary programs in 2019. We expect 2019 G&A costs to trend about 5% to 10% lower than our 2018 costs. We continue to believe that our existing working capital together with potential future sources of non-dilutive financing will be sufficient to fully fund our currently planned fixed costs and discretionary programs into 2020. Potential sources of non-dilutive financing include the future option payments for the Guadalupe de los Reyes project in Mexico to $1.5 million option payments are due in 2019. Depending on market conditions, the sale of some or all of our Midas Gold Shares and the sale of our used mill equipment. A.M. King Industries continues to market the mill equipment for us and we've had several credible expressions of interest over the past year. That concludes my comments. Fred?
Fred Earnest: Thank you, Jack. I’ll first briefly address the achievements of 2018 and then provide an outlook for the project optimization programs that are set to wind up in the first half of the year. I will start with an update of our permitting activities. In 2014, we received the approval of the environmental impact statement for the Mt Todd gold project. EIS was reviewed and approved by the Northern Territory Environmental Protection Agency. Soon after receiving this approval, the Commonwealth Department of Environment and Energy advised us that upon reviewing the approved EIS, it concluded that the Mt Todd project would be required to seek an additional approval under the Environmental Protection and Biodiversity Conservation Act of 1999. Our initial request for authorization required by this act was made in December of 2015. And following review by the agency, we spent much of the succeeding 18 months responding to requests for additional information. Subsequently, we worked closely with the local stakeholders, NT agency officials and academics who support, demonstrated commitment and innovation helped us to achieve our common goals. And in January of 2018, we received the authorization required by the Environmental Protection and Biodiversity Conservation Act. As required by this authorization, we have prepared detailed monitoring and mitigation plans and in some cases have already begun implementation of these plans. The EIS and the authorization required by the Environmental Protection and Biodiversity Conservation Act constitute the two major environmental permits required for the development of the Mt Todd project. Secondly, after months of review of a preliminary document, we received formal notification from the Northern Territory Department of Mines last October that they were satisfied with the rigor of our Mine Management Plan or MMP, the equivalent of a mine operating permit in North America. With this notification, we prepared the final MMP for the Mt Todd project and submitted the detailed document for review and authorization in November of 2018. This document is now being reviewed and we believe that the authorization of the MMP will be received sometime in the latter part of the second quarter of this year. Once approved, we will then hold all of the major projects or all of the major permits for the Mt Todd project. I will now discuss the technical advancements of the project. In 2017, we completed extensive testing that allowed us to incorporate ore sorting in the process flow sheet. This change subsequently allowed us to optimize the production capacity of the third stage, high pressure grinding roll crushing circuit and to completely redesign the grinding circuit. Finer material from the crusher allowed us to replace the three largest in class ball mills with two smaller ball mills. And also add a complimentary fine grinding circuit. In essence, we were able to make design changes to allow each component of the plant to operate in the most efficient manner possible. It is important to note that the savings in the ball mills offset the cost of the additional equipment that was added to the design. The fine grinding circuit was estimated to be capable of producing product 33% finer, 60 microns than previously thought attainable with just a single-stage ball mill circuit. This resulted in gold recovery improving from 81.7% to 86.4%. We published the results in an updated PFS using a $1,300 gold price and an $0.80 foreign exchange rate as US$0.80 per Australian dollar. For more detailed information, I refer you to the Canadian National Instrument 43-101 report that has been published and is available on SEDAR and on our website. But the work did not stop there. In the spring of 2018 we completed additional fine grinding test for accusing using low-grade samples in the labs of FLSmidth and Core Metallurgy. Both sets of grinding tests demonstrated that we had been very conservative in our estimates of both the final grind size and the power consumed. We now believe that we will be able to grind 25% finer or in other words to the range of 38 microns to 45 microns, which as we announced in August, results in gold recoveries over 90%. This announcement was followed by work to prepare a 5 ton high-grade bulk sample for additional HPGR crushing, sorting and fine grinding tests. In January of this year we announced that these tests in addition to confirming the results of the previous pressuring and sorting tests, demonstrated a natural concentration of the gold bearing particles in the fine HPGR crusher product and resulted in even lower gold losses in the ore sorting circuit. Subsequently, we have prepared samples for various head grades for additional fine grinding and leach recovery tests to generate grind size, grade recovery curves over a wide range of ore feed grades. This more detailed testing is expected to demonstrate not only the higher recoveries announced in August, but also to support the initial indications that finer grind size results in a constant tail grade. In summary, we expect this test work to demonstrate that gold production could increase by approximately 300 ounces over the life of the mine, approximately two-thirds of that occurs in the first five years with no material increase in operating our capital costs. In addition to the improved gold recovery, the updated project technical and economic study expected to be completed in the latter half of Q2, will incorporate the current foreign exchange rates and gold prices. Next one we talk about development strategy. Although Mt Todd is a compelling project, it is important to state that Vista will not be embarking on an aggressive program to finance and develop the project on its own upon the conclusion of our plant optimization programs. We believe that the development of large projects by smaller companies involves financial risk that is not in the best interest of our shareholders. Rather, we will continue to seek the appropriate partnering opportunity to participate in the development of Mt Todd and mitigate the risk and dilution of standalone development. Our priority is to achieve a valuation that is reflective of a very large project in a low risk jurisdiction with favorable costs and robust project economics. We believe that the permitting status of the project, the ease of access and the existing infrastructure of our technically advanced project, makes Mt Todd a significant investment opportunity for the astute potential partner. We invite you to stay tuned as these efforts unfold. Last, I would like to talk about Vista’s leverage to the price of gold. We all understand the value of higher gold prices as it relates to project economics. The last three months have demonstrated the leverage that our share price has for the gold price. Over the period from November 13 through February 22, the gold price improved 10.5% while Vista’s share price improved 93.2%. This is 8.9x the improvement in the price of gold on a percentage basis. This compares to the value of the GDXJ improving 29.4% or 2.8x improvement in the price of gold. We believe that the ongoing optimization work will further enhance the leverage Vista shareholders enjoy relative to the price of gold. As one of our shareholders recently commented, if you believe the price of gold will improve, you have to believe that Vista will be one of the best performing investments in the gold developer space. In conclusion, our Mt Todd gold project is the largest single deposit undeveloped gold project in Australia with 5.85 million ounces of proven and probable reserve, Vista controls the third largest reserve package in Australia. It is ideally located in the northern territory of Australia with paved roads to the site, another existing infrastructure such as power lines and natural gas pipeline, freshwater storage reservoir and tailings impoundment facility. The project improvement that we have discussed today, have created the foundation for the leverage to gold price and improve shareholder value that we have seen over the last three months. We have earned the trust of the local stakeholders and believe that our social license is firmly in hand. We are pleased to be part of a very small elite group. They can state that they hold all major environmental permits for a major gold project. We are excited about the results of the ongoing optimization programs and look forward to the announcement of updated technical and economic results in Q2. For a more comprehensive assessment of the value accorded to Vista and the Mt Todd project, I refer you to our corporate presentation, which can be found on our website at www.vistagold.com. There, you will be reminded that we are presently trading at approximately 0.1x NAV compared to our peers trading in an average of 0.5x NAV. This represents a significant opportunity for an increase in shareholder value. Mt Todd is well-advanced and technically derisked. All major environmental permits are in hand, It has the potential to be the fourth largest gold producer in Australia with lowest quartile costs. It is favored with easy access and excellent existing infrastructure, all in the mining-friendly jurisdiction of the Northern Territory. We believe all of this adds up to an exceptional investment for the gold investor looking for value, growth potential, and leverage to the gold price. This concludes our prepared remarks. We will now respond to any questions from the participants on this call.
Operator: [Operator Instructions] And your first question comes from Heiko Ihle from H.C. Wainwright. Your line is open.
Heiko Ihle: Hey guys, thanks for taking my question.
Fred Earnest: Good afternoon. Heiko. Thank you.
Heiko Ihle: Hey. Did you complete the remaining fine grinding and leach tests that you spoke about in early January? I mean, there was a sentence in the earnings release that the test has been used to confirm the Company’s extirpation of gold recoveries above 90% over a broad range of ore head grades. Is there any updates you can give us or a timeline that we should be expecting to see something? Because I think you said that it was going to come out in the first quarter.
Fred Earnest: Yes. Heiko, the high pressure grinding role and ore sorting tests were completed in October and we received the assays is late in the year, announced those results in January. The multiple samples for the test work that we've discussed which will be the fine grinding at both FLSmidth and Core Metallurgy have been prepared and shift the labs. We're now waiting for the start of those grinding test and they will subsequently be followed by leaching tests. We in January projected that that test work would be completed by the end of the first quarter. We're still hopeful that that will be the case. I don't know that we will have the asset results back and be able to announce results by the end of the quarter, but sometime around the end of this quarter, first part of Q2, we will have that work completed.
Heiko Ihle: Okay. And then this only really only 4 weeks, 4.5 weeks away. So it's not a whole lot of time, which was good. And you guys always pretty efficient when it comes to that stuff. And just to follow up, really in January, you also announced the schedule pretty updated PFS, sort of along that last question, is that at that timeline is still on track?
Fred Earnest: Provided that the samples get processed by FLSmidth and Core Metallurgy that's the uncertainty right now, but provided that those samples are ground in a timely manner, then we will still be on schedule to update the PFS and publish those results, the latter part of Q2 targeting somewhere toward the end of May.
Heiko Ihle: Okay. So is it fair to say that there is probably about a six week to eight week gap between the results of the PFS?
Fred Earnest: From the time that we announced the grinding leaching tests results to the time of announcing the PFS results. I think that six weeks to eight weeks is a reasonable time.
Heiko Ihle: Excellent. Thank you guys. Keep it on.
Fred Earnest: Thanks, Heiko.
Operator: [Operator Instructions] There are no further questions at this time. I’ll turn the call back to our presenters.
Fred Earnest: Very good. Thank you Kenzie. Again, thank you ladies and gentlemen for taking time to be on the call this afternoon. As we've indicated, 2018 was a very exciting year for us and the work that's in progress right now we think has the potential to result in significant, similar improvements to the Mt Todd gold project. As indicated in the response to Heiko’s questions, we're working to finalize that those testing programs and to be able to announce results and we encourage you to stay tuned and to be attentive to those results when they're announced. We appreciate everybody's time on the call this afternoon. And with that, we wish you all a very pleasant and very good afternoon.
Operator: This concludes today's conference call. You may now disconnect.